Operator: Good afternoon, and welcome to the Conference Call Covering Harrow Health Financial Results and Business Update for the Fourth Quarter of 2018. My name is Davona, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. By now you should have received a copy of the earnings press release. If you have not received a copy please go to the Investor Relations page of the company's website at www.harrowinc.com. Before we begin today, let me remind you that the company's remarks include forward-looking statements within the meaning of Federal Security Laws. Forward-looking statements are subject to numerous risks and uncertainties, many of which are beyond Harrow Health's control, including risks and uncertainties described from time-to-time in the SEC filings, such as the risks and uncertainties related to the company's ability to make commercially available it's compounded formulations and technologies, and FDA approval of certain drug candidates in a timely manner or at all. For a list and description of those risks and uncertainties, please see the risk factors section of the company's most recent Annual Report on Form 10-K and subsequent quarterly reports on Form 10-Q filed with the Securities and Exchange Commission. Harrow Health results may differ materially from those projected. Harrow Health disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time sensitive information and is accurate only as of today. Additionally, Harrow will refer to non-GAAP financial metrics, specifically adjusted EBITDA and/or adjusted earnings. A reconciliation of any non-GAAP measures with the most directly comparable GAAP measures is included in the company's press release available on the website. With that, I would like to turn the call over to Mark Baum, Chief Executive Officer of Harrow. Mark?
Mark Baum: Thanks for joining us today as we discuss another record quarter for Harrow Health. In terms of consolidated revenue, gross margins, and even more important the significant net income, we recorded as a result of our stake in our first Project 15 business, Eton Pharmaceuticals, which successfully IPOed late last year. Project 15 is an initiative we began in 2017. Project 15 is a value bridge for our market-leading pharmaceutical compounding business allowing us to take medicines we know well through an FDA approval process. Project 15 involves founding and funding new companies to develop these assets. The goal is for Harrow to own large equity stakes in Project 15 businesses and royalty rights in many of the drugs, they develop. The 15 by the way, in Project 15 refers to a $15 Harrow stock price, which is the sustained level at which Harrow Senior Management's performance-based equity awards vest. The financial impact of Project 15 during Q4 of last year, and in 2018, in general was profound. And here's what I mean. As some of you know, we set a consolidated revenue run rate target for our pharmaceutical compounding business of $100 million in 2021. And we believe we will deliver 25% operating margins for this business. Given our growth trajectory, we continue to have line of sight to this target. But think about this, in the fourth quarter of 2018, following the Eton IPO we were able to realize a gain of $21 million, the equivalent outcome of Harrow selling $100 million in goods and realizing a 21% net margin. This drove net income for the full year 2018 of $14.6 million. The Eton IPO along with other Project 15 deconsolidation events has led to the creation of Harrow now owning more than $50 million in equity in our Project 15 businesses. The bottom line is that I don't believe Eton was an isolated event. And I expect Project 15 businesses to be a growing and potent part of the value of our company. Just as we have line of sight in our pharmaceutical compounding business to reach our $100 million revenue run rate goal in 2021, we have the same or better line of sight to creating more Eton-like outcomes over the coming years. By leveraging small amounts of Harrow Capital, drug formulation assets Harrow owns or acquires, and the talents of a few members of the senior Harrow team, Project 15 is producing tremendous value and now profits for our shareholders. With that said, here is a brief overview of Harrow Health. The Harrow Health strategy is to mitigate the investment risk of drug development for the benefit of shareholders and patients. Our belief is that ownership of a portfolio of drug companies, built on mitigating investment risk can deliver exceptional returns. In practice, our approach to risk mitigation involves trying to answer specific questions before investing significant amounts of capital. For example, does a drug candidate work in human? What will FDA require to grant approval? What are the cost estimates to get the drug FDA approved, or doctors willing to prescribe it? What will patients or third party payers pay and what will it cost to acquire prescriptions? In each of the seven businesses we now own, we've been able to sufficiently answer these questions, mitigate investment risk, attract experienced leadership finance the business and help the business progress towards the achievement of critical milestones. Before I give you an update on our businesses, here are few highlights from our fourth quarter 2018 consolidated numbers. Revenue grew beautifully, hitting a new record of $11.4 million. This was a 55% increase compared to the fourth quarter of 2017, and despite the Q4 holiday period was a 6% sequential increase from the third quarter of 2018. Of note, now 88% of Q4 revenue came from our ophthalmology business. Ophthalmology continued to shine, with a 72% increase in Q4 of 2018 compared to Q4 of 2017. Gross margins grew again in the fourth quarter and hit a new record of 64% and we're hopeful this upward trend will continue. We had our first $1 million week in October. This was a great milestone for our team and one that we hope to more consistently hit going forward, as we get closer and closer to our revenue goals. Last, I'm happy to report Q4 net income of $18.1 million, driven primarily by a $21 million investment gain related to our Eton Pharmaceuticals ownership. Now let's jump into our businesses. Today, as I said, Harrow has stakes in seven businesses. Our consolidated businesses are ImprimisRx, ParkRx, Mayfield Pharmaceuticals and Radley Pharmaceuticals, and we're a significant minority shareholder in the other three; Eton, Surface and Melt. All three of which have been deconsolidated from Harrow following their Series A financing events. ImprimisRx is the nation's leading ophthalmology pharmaceutical compounding business serving thousands of ophthalmologists and optometrists in all 50 states. Park is a leading national wellness pharmaceutical compounding business. We believe our growth trajectory for these businesses is supported by the following factors. Nearly every month we break daily ophthalmology sales records, with about 88%, as I said, of our overall revenue coming from ophthalmology. New customers continue to adopt the ImprimisRx platform, creating new record customer accounts each month. And a growing number of new customers are prescribing chronic care medications. This is an important revenue and margin driver. During the first quarter of 2018, about 30% of new customer accounts, prescribed chronic care medications, and by Q4, this grew to 40%. And during Q1 of 2019, we're on pace to hit about 50%. These orders are larger in revenue and the refills they come with can provide a predictable future revenue stream. Broader account penetration continues as well particularly for prescriptions with refills for chronic care medications. The number of our customers prescribing chronic care medications grew by 31% from Q2 to Q4 of 2018. And it has grown 17% alone from Q4 of 2018 through February of 2019. We are hoping to reach 1,000 chronic care prescribers by the end of Q1 2019. Keep in mind that this part of the ImprimisRx business is only about 15 months old. Our new product launches are proceeding as planned and meeting our expectations. And finally, we do expect to see margin expansion as we normalize prices consistent with the value our products deliver. The secret to this fantastic growth in our ophthalmology business is our team's commitment to delivering an outstanding physician and patient experience. ImprimisRx is consistently getting better at providing an incredible value proposition to its thousands of customers. When a doctor prescribes an ImprimisRx medicine that helps produce an excellent result for a patient, she will not hesitate to use ImprimisRx again. What I love about ImprimisRx is that its success is based on peer to peer interactions, medical professionals dialoguing with each other about their real world experience using ImprimisRx products. You just cannot beat the price of this free advertising. Related to this, in May of this year, the largest ophthalmology meeting for Cataract and Refractive surgeons will take place in our backyard here in San Diego. And at that meeting ImprimisRx products will be featured in a new company record number of presentations and posters. These real world data points and physician presentations and endorsements, which are often made without any remuneration whatsoever, are the fuel for ImprimisRx's continued growth. I continue to believe that ImprimisRx is in its infancy. There are thousands of ophthalmologists and optometrists who either haven't heard of us or haven't tried prescribing our products. And there are large areas of ophthalmology, we haven't penetrated and that we intend to in due course. Our intention is to take advantage of our market leading position and our unique national platform to serve more of the unmet needs of physicians and patients across our country. One final highlight is that John Saharek was recently promoted the President of ImprimisRx. After 30 years in pharma, and the ophthalmology business including five years as the day to day face of ImprimisRx to our customers as our Chief Commercial Officer and Head of Sales, John will be as steady, and overseeing our continued growth. I have tremendous confidence he will meet and exceed our goals. Now let's talk about our project 15 businesses. Project 15 allows us to achieve the highest and best use of our intellectual property, our drug formulations by investing in developing them as candidates for FDA approval. And Project 15 leverages the experience of having dispensed compounded versions of our drug formulations. Our transaction template is to vend a group of compelling drug formulations into a new Harrow subsidiary, recruit a bankable management team, provide seed financing and deconsolidate the business from Harrow after a more substantial financing transaction is completed. Because of Project 15, Harrow has been able to retain large stakes in five new businesses, as well as royalty rights and the formulations Harrow contributed. Following the deconsolidation of Melt in January, the stakes of just the first three of these businesses were worth nearly $50 million. Now here is an update on Mayfield, Radley, Eton, Surface and Melt. In early February Mayfield announced the acquisition of MAY-44, a patented drug candidate for the treatment of dyspareunia or pain during sexual intercourse, a condition that affects millions of women in the U.S. and often goes untreated. We're expecting to speak to the FDA during this summer about our plans for MAY-44. Mayfield has two additional drug candidates it's seeking to develop including MAY-88, a patent pending drug candidate as a treatment for interstitial cystitis, once again, a disease that affects millions of women in the U.S. who all too often go untreated Mayfield is poised to address large underserved markets with proprietary products with the potential to impact the lives of millions of women. Radley Pharmaceuticals is focused on rare diseases and orphan drug indications. And all Radley drug candidates will seek FDA approval via the 505(b)(2) pathway. Radley expects to develop drug candidates for up to four distinct indications. We have a pre-IND meeting scheduled with FDA this May for RAD-100, a patent pending, anti-infective drug candidate and a potential treatment for multiple rare diseases and indications. Radley has also executed a new agreement to sponsor an investigator IND with a major New York-based healthcare institution for a potential additional indication for RAD-100 in the area of immune-oncology, and we're working on yet another program for RAD-100 in oncology consisting of a pre-clinical study with a major Boston-based healthcare organization which is expected to begin in the second half of 2019. Both Mayfield and Radley are exciting and potentially impactful businesses. And I am looking forward to providing more information as we complete the next phases of our project 15 process. Finally, let me say a few things about Eton, Surface and Melt, three deconsolidated businesses we hold minority stakes in. Eton Pharmaceuticals completed an IPO in November and now trades on the NASDAQ, under the ticker symbol, ETON. Eton has a growing pipeline of late stage relatively low risk drug development programs and has signed licensing agreements for four different products just in the past few months. In February, Bausch Health acquired Eton's EM-100 topical eye drop drug candidate for the treatment of ocular itching associated with allergic conjunctivitis. Eton is an exciting business, led by a dynamic CEO, Sean Brynjelsen and under his leadership has tremendous potential for growth and stock price appreciation. And Harrow owns 3.5 million shares of Eton common stock, or just under 20% of the business. Surface Pharmaceuticals expects to file INDs for three drug programs at the end of this year and by the beginning of 2020. Phase 1 and Phase 2 clinical studies are expected to begin shortly thereafter and the Surface team could have data readouts from those studies beginning in 2020, next year. Success in any one of those ocular surface disease programs would likely be a considerable value inflection point. Harrow owns 30% of the equity interest in Surface, along with Flying L Partners who remains the largest equity owner of Surface. Melt Pharmaceuticals was deconsolidated from Harrow after closing an $11 million equity financing. Based on a successful pre-IND meeting with the FDA in January of this year, this capital is expected to fund the company into clinical trials for its lead drug candidate, which, if successful, would likely be a significant value inflection point for the company. Melt, which is developing a patented platform for sublingual non-opioid, non-IV sedation is led by CEO, Greg Madison. Recently, Dr. Inder Kaul joined Melt as its Chief Medical Officer. Dr. Kaul has a tremendous background in anesthesiology and will oversee the development program of Melt 100, the company's lead drug candidate for sedation and pain during cataract surgery. Harrow currently owns about 44% of the equity in Melt. Next I want to comment about our adjusted EBITDA and the impact of costs associated with legal matters which led to a Q4 adjusted EBITDA loss of about $260,000. Maximally reducing these legal costs is one of my highest priorities this year. The good news is that we've made significant progress cleaning up several matters and are 110% prepared and budgeted to handle the others. I am confident these costs will soon abate creating both a clearing event for our stock and importantly the opportunity to repurpose our growing profits to more useful ends. A few final points about vision before I turn things over to Andrew; our vision is to ImprimisRx exceed our $100 million annual revenue run rate goal to continue to leverage the Project 15 template, growing our balance sheet with large equity stakes in companies like Eton, Surface and Melt, Mayfield, Radley and others we are busy working on today. Our vision is to generate streams of cash flow in the coming years from commercial drug royalties from our Project 15 businesses. We have built the foundation and we have a template that works, and we are all too excited to keep executing for our shareholders. Now I will turn the call over to Andrew for more detail on our financials before I provide closing comments. Andrew?
Andrew Boll: Hey, everyone. I'd also like to thank you for joining our call today. For the year ended December 31, 2018, revenues were $41.4 million. We recorded gross margin of 60%, operating loss of $5.2 million and net income of $14.6 million or $0.67 per basic share. Compared to 2017, revenues were $26.8 million, gross margin of about 50% and a net loss of $12 million. Importantly during 2018 we were able to bolster our balance sheet as well, doubling our asset balance compared to last year, with our asset balance at December 31, 2018 at nearly $50 million compared to about $24 million in 2017. As Mark mentioned, during the fourth quarter of 2018, we were able to build upon the strong growth we've seen in recent quarters. Total revenues for the fourth quarter were $11.4 million, compared to $7.3 million a year ago, a 55% increase. Total cost of sales for the fourth quarter 2018 was $4.1 million, yielding a gross profit of $7.3 million and a gross margin of 64% compared to a gross profit of $3.9 million the prior year and a gross margin of 53%. Once again, revenue growth was driven primarily by our ImprimisRx ophthalmology business with a steady increase in revenues associated with our chronic care formulations. Operating expenses totaled just under $9.5 million which result in a loss from operations of just over $2.2 million, during the fourth quarter of 2018. Our fourth quarter operating expenses included over $2 million in costs associated with settling and defending legal matters. Compared to the fourth quarter of last year we reported operating expenses of $6 million and an operating loss of $2.2 million. Our adjusted EBITDA loss for the fourth quarter and 2018 was $264,000 which is a departure from the third and second quarters, which recorded positive adjusted EBITDA. As Mark mentioned earlier, the good news is that we have moved aggressively to reduce our exposure to legal costs that brought our expenses up in the fourth quarter and expect them to begin winding down during 2019 and reverting back to past levels. Backing out the non-settlement litigation cost during Q4, we estimate adjusted earnings could have been about $1.1 million. I know on our last call I mentioned we expect that our adjusted earnings figure to continue to be positive. However in late November we decided to take an aggressive approach to lower our exposure to a series of legal matters, which included settling certain cases, dismissing others and investing in our resolution process with regard to another. We believe this was the right move understanding that it may cost some short term fluctuations, but we believe it will ultimately set us up well for the back half of 2019. Despite increased litigation expenses, which we believe are temporary and non-permanent, we still recorded a significant gain that drove net income for the year and year. As Mark discussed, during the fourth quarter we changed how we accounted for a now significant asset on our balance sheet. With Eton completing its IPO in November, Harrow's ownership stake in Eton dropped just below 20%. And with that our investment is now marked to market, sort of recording Eton at cost and deducting our share of their loss each quarter. That change in fair value is recorded in our income statement, and as a result allowed us to record an investment gain of $21.4 million and pushed our net income to $18.1 million for the fourth quarter. We think this record earnings number is reflective of the value generation that our project 15 initiatives can bring as those businesses mature and hit value inflection points. Looking into 2019 and more specifically Q1, I expect revenues to continue growing. January was a solid month for us as was February. If March continues on trend, we expect year-over-year revenue growth in Q1 to be in line with what is required to hit our longer term revenue targets. We also expect to record a gain of about $5.8 million in the first quarter related to the deconsolidating transaction of Melt in January. And we will continue to record changes in the value related to our Eton common stock position being marked to market. I do expect litigation expenses to continue to be high in the first quarter and likely second quarter of this year, but to retreat in the second half of the year, bringing our operating expenses back to more normal levels. As we look at the rest of 2019, we expect revenues to continue to grow, driven primarily by our ImprimisRx business. As we've discussed in previous calls, our sales and marketing expenses will continue to grow as our revenues increase, because of the primarily commission-only based sales force. We expect to get back to positive adjusted EBITDA in the second half of the year, and potentially sooner and stronger if a few things go our away. One last item, going forward we intend for our financials to include segment information. We'll have two segments. One is our commercial stage pharmaceutical compounding business primarily made up of our ImprimisRx and product businesses and our other segment will include our consolidated pharmaceutical development businesses. We've begun analyzing our internal financials this way and our hope is this segmented financial information will also be helpful to the investing community to provide more transparency and clarity related to financial performance. I'll now turn the call over to Mark for closing remarks prior to our Q&A. Mark?
Mark Baum: Thanks, Andrew. And thanks to our customers and employees for making our continued growth possible. The Harrow team has never been more enthusiastic about our direction and strategy. Our operating business continues to grow and is poised to begin producing sustainable profits. We continue to execute on Project 15 creating focused pharmaceutical businesses, building a portfolio of retained equity stakes and a potential stream of cash flow from royalties. I look forward to providing additional updates in the coming quarters on the progress of all Harrow businesses. And one day as we continue to execute, I hope to amend the name Project 15 to project 25 or beyond. Operator, please open the line to questions from today's participants. Operator?
Operator: Thank you. [Operator instructions] And our first question will go from Andrew D'Silva from B Riley FBR.
Andrew D'Silva: Good afternoon. Thanks for taking my question. And congrats on all the progress you made last year. Just right off the bat, I just want a couple quick bookkeeping questions. So related to the diluted share count, could you just let me know what you were using for the fourth quarter. And then I was just looking at your K, I noticed CapEx inched up a little bit and, excluding the 900,000 in non-recurring OpEx expenses, that also inched up a little bit. I was just curious if there was some investment in the compounding business that you didn't highlight earlier.
Mark Baum: Andrew, you want to take that one?
Andrew Boll: Sure. So Andy in regards to Q4 diluted number, right around 24.3 million is the share count. And then CapEx in Q4, we did invest in our compounding facilities in New Jersey. We added some additional equipment. We also expanded our footprint out there as well, added some square footage and additional clean room space.
Andrew D'Silva: Okay, great. I remember a while ago we were talking about possibly being able to expand into new states with various facilities, whether it be the 503 A in New Jersey or California or the B in New Jersey. Is that part of that initiative, you're expanding out so that you can better - have better capacity to service states that you weren't in previously?
Mark Baum: Well, it is. We invested in a piece of equipment, and I've actually alluded to it on prior calls, that will allow us to really quintuple our output out of the 503 B facility in New Jersey. So that's part of the investment and what that allows us to do is go far beyond even $100 million revenue target. It really doesn't affect the states that we ship in. We service all 50 states, and we're going to continue to service all of those markets. We, as a practical matter, needed more space. It's sort of a good - it's a good problem to have. But the facilities in New Jersey and total now are about 30,000 feet in total. So we did grow our facility, but these are really good problems to have. And they set us up very well for the intended future growth over the coming years.
Andrew D'Silva: Okay, great. That makes a lot of sense. Just to move over to the Project 15 spin off businesses. Do you have any sense when we should be thinking about the next IPO? Probably Surface I think is next one you mentioned. And then do you have a defined timeline internally with everything else or right now you still getting the other three organized?
Mark Baum: Thanks for the question. The next IPO, I really can't comment on. We have investors in Surface that hold a larger stake than even we do. And so we respect their input, certainly in the direction of that business. We have a much larger stake in Melt. And one of the things we've looked at is how the market has reacted to the success of the Eton IPO. Certainly that's something we're interested in. We've heard from a number of our shareholders, they like the fact that will be able to mark the business - the investment to market. And so looking at public versus private as part of our strategy is something that we're considering and we will probably be able to say more about that over the next couple of quarters. In terms of the timelines for the next transactions, an interesting thing has happened. And it's sort of success begets success. And we have had very interesting opportunities come to us over the last three or four months that we've been reviewing. And the opportunity to work on those deals is exciting. We don't really see an end to the quality of the deals and are really gated by our access to capital and personnel and those sorts of resources. But we're excited about the success we've seen with Project 15. And I think importantly, others who have, who've been sitting on the outside and who have seen it, who want to maybe work within that template within this platform are excited about it as well. So we're going to do a lot of work on Project 15 over the coming quarters. We'll talk a lot more about that. But it's all enabled and it's complementary to obviously our ophthalmology compounding business.
Andrew D'Silva: Perfect. Thank you for the color. And then just so last question is related some of the recent regulatory guidance and related statutory regulations that have been out there. I was just curious if the 503A and 503B guidance that recently was put out. If you had any thoughts related to it, and how it benefits your business? And then related to the memorandum of understanding with the 503A, if there's been a sort of clarity or an update on that, too, and that's last question for me. Thank you very much.
Mark Baum: Thank you, Andy. Yeah, the, I think any comments related to the guidance documents that have come out recently, my only comment would be that the FDA is really making good on what it said it was going to do? And under Dr. Gottlieb's leadership they've said they were going to do X and they've done X. They've put guidance documents out. Consistently they've created a framework, that we work within. And we don't see the guidance documents really impacting what we do as they currently stand. So that isn't, as I said, impacting our business. In terms of the MOU, the MOU which is not finalized, MOU, memorandum of understanding, once again, the FDA's draft document is a document we can work with and that works well with our business model. We are - for [ph] FDA guidance documents were for the FDA inspections that we receive. We think it's good for the long term future of our business. And so as I said, FDA has said they were going to do certain things and they've made good on them and we can work within the framework that they've laid out so far. Importantly, though, and I think this is really critical, the FDA has really stressed the importance of the physician and the patient relationship and that physicians and patients be in charge of determining what's really important for a patient's care. And I don't see the FDA changing that concept as well.
Andrew D'Silva: Great. Yeah, that's actually a very important point. Thank you for mentioning that as well and then good luck going forward. And thanks for taking my questions.
Mark Baum: Thank you, Andy.
Operator: [Operator Instructions] We'll go next to Brooks O'Neil with Lake Street Capital Market.
Brooks O'Neil: Good afternoon and congratulations on all the progress. So Mark, you mentioned some of the capital spending and improvements in New Jersey and the opportunity that opens for you to continue to grow revenue aggressively. I noticed in the fourth quarter gross margin was 64%. And I think your longer term target had been 60%. Do you have any new comments about what realistic objectives might be for the growth of ImprimisRx and the profitability of that business?
Mark Baum: Well, thanks for the question. First of all, we're taking more space. And you know this is not space on Park Avenue in New York. This is relatively low cost space, but we need more space because business is good. The reason why we're investing in automation and robots to help quintuple our output is because business is good. These are really good problems to have we think. And what we've been able to do, and I think I've mentioned this in the past is, we've actually been able with essentially the same workforce and really fewer hours on a weekly basis to produce more and more product. And that's good for gross margins. It's also good for example, for our workforce, they have a four by 10 work week. So they work four days on the production side and they like that. So that we have happier employees to which is really nice. On gross margins, we set a 60% growth target, a 60% gross margin target last year. We said we would get there and of course, in the second quarter we hit it and the third quarter we went to 61%, but for the last few quarters, I've set a different target. I've said that we should see gross margins hit 70% or better in the medium term. And what I think you've seen with the 64% number this quarter is us making good on our belief that we can get better when it comes to gross margins. And we should continue to get better over the coming quarters. It's not going to be linear and happen overnight, but we do think that we should see gross margins with a seven handle going forward. At some point in the next few quarters.
Brooks O'Neil: Okay, that's great. And then obviously, you mentioned the more aggressive strategy with regard to outstanding litigation. Just can you refresh our memory about where you stand today with regard to remaining litigation and I know you can't predict exactly when you might resolve those but is it your hope to attempt to resolve them during 2019 or do you think it'll take longer than that.
Mark Baum: Yeah, we haven't really commented on the specifics of any particular matter. We did comment on the call and I think this is the case that our expectation is that litigation will wind down after the first half of the year. It should wind down and we should normalize our costs in that department, consistent with what they've been historically. So when that happens, and I do believe it's going to happen, I mean, this litigation is not going to continue. And I was very clear on the call that it is a high priority to reduce these expenses. And we have implemented a plan aggressively in the fourth quarter to do that. And we are clearing the deck on these matters that we were prosecuting as plaintiffs by dismissing those matters. We're working very aggressively with state agencies about resolving other matters that have been pending. And as I said also on the call it, or Andrew may have said that we have settled a civil matter that was lingering for a couple of years. So we are clearing the deck. We intend to reduce these costs, and the hope is that when we get into the second half of the year, the bloom of the business will be there to shine in the numbers and that we won't have these litigation matters hanging out, at least the ones that are serious.
Brooks O'Neil: Great. That's fantastic. Thanks, Mark. Congratulations. Keep up the good work.
Mark Baum: Thank you, Brooks. We appreciate it.
Operator: There appear to be no further questions at this time. I would like to turn that back over to Mark Baum for any additional or closing remarks.
Mark Baum: Great. Thank you. Just want to thank everyone for attending. We appreciate your support. And if you have any investor related questions, please contact our Investor Relations associate, John Patton. His direct number is 858-704-4587. This will conclude our call.
Operator: Thank you. This does conclude today's conference. We thank you for your participation. You may now disconnect. Thank you and have a great day.